Operator: Good afternoon, and thank you for attending today's Alta Equipment Group Inc. Fourth Quarter and Full Year 2025 Earnings Conference Call. My name is Regan, and I will be your moderator for today's call. I will now turn the call over to Jason Dammeyer, Vice President of Accounting and Reporting with Alta Equipment Group Inc. Please proceed.
Jason Dammeyer: Thank you, Regan. Good afternoon, everyone, and thank you for joining us today. A press release detailing Alta Equipment Group Inc.'s fourth quarter and full year 2025 financial results was issued this afternoon and is posted on our website, along with a presentation designed to assist you in understanding the company's results. On the call with me today are Ryan Greenawalt, our Chairman and CEO, and Anthony J. Colucci, our Chief Financial Officer. On today's call, management will first provide a review of our fourth quarter and full year 2025 financial results. We will begin with some prepared remarks before we open the call for your questions. Please proceed to Slide 2. Before we get started, I would like to remind everyone that this conference call may contain certain forward-looking statements, including statements about future financial results, our business strategy and financial outlook, achievements of the company, and other non-historical statements as described in our press release. These forward-looking statements are subject to both known and unknown risks, uncertainties, and assumptions, including those related to Alta's growth, market opportunities, and general economic and business conditions. We have based these forward-looking statements largely on our current expectations and projections about future events and financial trends that we believe may affect our business, financial condition, and results of operations. Although we believe these expectations are reasonable, we undertake no obligation to revise any statement to reflect changes that occur after this call. Descriptions of these and other risks that could cause results to differ materially from these forward-looking statements are discussed in our reports filed with the SEC, including our press release that was issued today. During this call, we may present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today's press release and can be found on our website at investors.altaequipment.com. I will now turn the call over to Ryan Greenawalt.
Ryan Greenawalt: Thank you, Jason, and good afternoon, everyone. We appreciate you joining us to review Alta Equipment Group Inc.'s fourth quarter and full year 2025 results. I will begin with an overview of our performance, highlight trends across our business segments, and outline how we are positioning Alta for long-term value creation as we look toward 2026 and beyond. We finished the year on a solid note. After operating through nearly two years of elevated inventories, tariff-driven cost pressures, and broader macro uncertainty, we are entering 2026 with a noticeably healthier backdrop. Fourth quarter demand for new and used equipment rebounded meaningfully. Lower interest rates, tax clarity following the one big, beautiful bill, and improving sentiment all contributed to a more constructive environment heading into the new year. As expected, we experienced seasonal declines in product support and rental, and the early onset of winter in several of our northern markets amplified that pullback. Even with that impact, while interquarterly performance came in short of expectations, we delivered a record quarter for equipment sales. Inventories are starting to normalize, competitive discounting is moderating, and customers are returning to more typical fleet replenishment cycles across both construction and material handling segments. Importantly, the broader economic data aligns with what we are seeing in order activity. Construction employment posted one of its strongest gains in more than two years, and manufacturing employment turned positive for the first time since early 2023. The tone in the market has improved, and we are beginning to see that translate into real demand. Turning to our Construction segment, we exited 2025 with real momentum. Our strategy remains intentionally anchored to customers tied to long-term, fully funded infrastructure programs. That discipline continues to provide visibility and stability, particularly as we enter 2026. Florida stands out as a key growth driver with a significant pipeline of transportation projects set to begin in the coming quarters. Across our broader footprint, quoting activity is already running ahead of where we started 2025, an encouraging leading indicator. Dealer inventories are normalizing, competitive intensity is easing, and we are beginning to see early restocking behavior. Importantly, demand for high-value specialty equipment remains strong. A great example of our differentiated value proposition with Volvo, our Michigan team sold the first two Volvo EC950F high reach machines globally. These units are purpose-built for heavy demolition, one of the toughest, most demanding end markets. That win speaks to Alta's technical expertise, our deep customer relationships, and the strength of the Volvo partnership in complex applications where performance, safety, and uptime are mission-critical. Deliveries are scheduled for the second quarter. OEM pricing support has improved, helping to offset last year's tariff impacts. While OEMs are projecting a stable 2026 market overall, we believe Alta is positioned towards the upper end of that range, supported by our infrastructure-weighted customer base, geographic exposure, and our ability to execute in specialized, high-spec applications. Turning to Material Handling, the trend entering 2026 is similarly encouraging. Quote activity has improved meaningfully from late-year lows. Bookings strengthened to start the year, our share position improved, and backlog is up year over year. While it is still early, the direction is clearly positive and consistent with what we are hearing from customers across our regions. Importantly, given the natural sales cycle in Material Handling from quote to order to delivery, any meaningful volume acceleration will be second-half weighted. What we are seeing today in quotes and backlog gives us confidence in that setup. Customers are reengaging in fleet planning as replacement cycles begin to normalize. That is particularly evident in several of our core verticals—food and beverage, distribution, pharmaceuticals, and logistics—where activity levels remain steady and capital conversations are becoming more constructive. With improved OEM pricing support and a stabilizing manufacturing environment, we expect demand to build as the year progresses, positioning 2026 as a year of sequential strengthening with momentum carrying into the back half. Master Distribution delivered double-digit revenue growth in 2025 as we expanded our presence across structurally attractive environmental processing markets, including biofuels, waste, and recycling. While tariff impacts and supply chain timing created meaningful margin pressure throughout the year, underlying demand remains fully intact. Throughout 2025, we demonstrated resilience, sustaining quality EBITDA, generating cash flow, and sharpening our focus on the core. We operated with discipline, we protected margin, and we allocated capital intentionally. Our M&A strategy remains active but selective. Over the past two years, we have refined our acquisition criteria with greater rigor around cultural alignment, return thresholds, OEM fit, and post-close integration capability. Going forward, we will pursue opportunities that clearly meet those standards, consolidating high-quality independent dealers, strengthening strategic OEM relationships, and selectively expanding complementary capabilities where we see durable returns. Equally important, the divestiture of non-core assets reflects our commitment to focus and capital redeployment towards higher-return opportunities. Turning to Slide 10, our 2028 and beyond framework, the ambition is clear: over $200,000,000 of high-quality EBITDA, approximately $1,400,000,000 in equipment sales, mid- to high-single-digit annual growth in product support, and a disciplined leverage target of approximately 3.5x. That is the profile we are building toward. To achieve this, we are executing against five strategic priorities. Sales transformation: we are aligning the right products, the right people, and the right customers, ensuring we go to market with best-in-class offerings that command leadership positions. Leadership upgrades across Material Handling, PeakLogix, and targeted Construction geographies are already strengthening execution. Market volume normalization: as equipment markets stabilize closer to pre-COVID addressable levels, we are positioned to capture share gains in our strongest regions through coverage density, OEM alignment, and customer intimacy. Third, scaling growth platforms: PeakLogix and Ecoverse represent scalable growth platforms. Both have credible paths to becoming $100,000,000-plus businesses over time, supported by structural industry tailwinds. Technology-led efficiencies: our ERP transformation is foundational. It positions Alta for AI enablement, automation, improved data visibility, and structural cost efficiency. We expect meaningful operating leverage while enhancing the customer experience. And lastly, a destination for skilled trades: nearly half of our workforce is in the skilled trades. Investing in the best—recruiting, developing, and retaining top technical talent—remains a core competitive advantage and a key driver of customer loyalty. In closing, we enter 2026 with improving market conditions, normalized inventories, expanding product support opportunities, and a focused, disciplined strategic plan. The organization is aligned, we are operating with greater clarity, and we believe the industry is turning the corner. Before turning it over to Anthony, I want to thank our more than 2,800 employees for their commitment and resilience, our OEM partners for their continued support, and our shareholders for their confidence in Alta's long-term direction. Your dedication continues to define who we are and how we win, fulfilling our purpose of delivering trust that makes a difference. I will now turn the call over to Anthony J. Colucci to walk through the financials in more detail.
Anthony J. Colucci: Thanks, Ryan. Good evening, everyone, and thank you for joining us to review Alta Equipment Group Inc.'s fourth quarter and full year 2025 financial results. Before getting into the details, I want to thank my teammates across Alta for their hard work and dedication throughout 2025. Operating through a challenging environment requires focus, resilience, and commitment. I appreciate the efforts the team made to support our customers and the business throughout the year. My remarks today will focus on three areas. First, I will start with fourth quarter performance, where you will see the combined impact of strong equipment sales, disciplined fleet reductions, and meaningful deleveraging. Second, I will discuss full year 2025 results and the financial themes that shaped the year. Finally, I will walk through our EBITDA bridge from 2025 results to our 2026 guidance and the assumptions that underpin it. Before I get to my talking points, it should be noted that I will be referencing slides from our investor presentation throughout the call today. I encourage everyone on today's call to review our presentation and our 10-Q and 10-Ks, which are available on our Investor Relations website at altg.com. First, starting with the fourth quarter, and as depicted on Slides 12 through 15, Alta generated approximately $509,000,000 of revenue in Q4, an increase of $11,000,000 year over year. This was driven primarily by higher equipment sales. New and used equipment sales totaled approximately $301,000,000 for the quarter, up $13,800,000 versus Q4 2024, and up a notable $90,000,000 sequentially from Q3 2025, reflecting improved capital investment conditions throughout our customer base. Importantly, this strong level of equipment sales activity translated directly into strong operating cash flows and balance sheet improvement. Combined with our ongoing rental fleet reductions, the company was able to meaningfully delever in the quarter, with net debt reduced by approximately $25,000,000 sequentially. Turning to product support, parts and service revenue remained stable year over year and totaled $127,400,000 for the quarter, despite an early onset of winter in 2025, which made our seasonal downturn more acute than expected. In a quarter with naturally fewer field workdays, product support margins expanded by 330 basis points, reaching 46.1% in the quarter, driven by pricing discipline and technician productivity. Rental revenue declined $4,700,000 in the quarter, or nearly 10% year over year, which was mostly anticipated and directly tied to our continued reduction of the rental fleet. As shown on Slide 22, we reduced total rental fleet gross book value by $38,000,000 during the year. These actions supported both improved returns on capital and additional cash generation used to reduce leverage. Adjusted EBITDA for the quarter was $40,600,000, essentially flat year over year. While headline EBITDA was stable, the quality of earnings improved, with a higher contribution from product support and lower reliance on rental equipment sales. Looking briefly at the segments on Slides 13 through 15, Material Handling generated $15,400,000 of adjusted EBITDA, a reduction of $2,900,000 versus last year, mainly attributed to lower revenues. Construction delivered $26,400,000 of adjusted EBITDA, up modestly year over year as SG&A reductions and revenue mix improvements offset pressure on equipment margins. And Master Distribution returned to positive EBITDA in the quarter, mainly reflective of improved volumes and gross margins year over year. Now moving to the full year view of 2025, and as presented on Slide 16, Alta generated $1,840,000,000 of revenue and $164,400,000 of adjusted EBITDA, down modestly from 2024. To drill in briefly, the year is best understood through three financial themes. First, equipment markets remained pressured throughout much of the year, particularly in our Material Handling segment. Additionally, new and used equipment gross margins continued to decline off 2023 highs, to 14.1%, down approximately 100 basis points year over year, reflecting tariff-related impacts, competitive discounting, and continued oversupply in both of our major segments. Second, we took deliberate actions to reduce capital intensity and reduced our fixed cost base. Rental activity declined primarily by design as we prioritized returns on capital and cash flow over episodic and asset-heavy rental. In terms of the reduction in SG&A, the over $20,000,000 decrease primarily reflects deliberate structural actions we took across the organization, including tighter headcount management, simplification of our operations, and more disciplined spend controls. Importantly, most of these initiatives are not temporary deferrals. They represent a sustainably lower cost base and will improve incremental margins as volumes recover. Third, and most importantly, earnings quality improved, primarily in our Construction business. As detailed on Slide 21, the Construction segment adjusted EBITDA declined modestly year over year. However, product support EBITDA within the segment increased more than $13,000,000, while gains on rental equipment sales declined by $11,000,000. This shift reflects a higher contribution from recurring, service-driven earnings and a leaner cost structure, resulting in more durable and predictable EBITDA. This shift, alongside the aforementioned reductions in SG&A, improved the underlying operating profile of the segment and has positioned the Construction business for stronger operating leverage as markets normalize. Turning now to cash flow and the balance sheet, and as presented on Slides 23 and 24, in 2025, despite lower EBITDA, Alta generated $105,000,000 of free cash flow before rent-to-sell decisioning and $103,100,000 after rent-to-sell. As a result, as shown on Slide 24, we exited the year with approximately $249,000,000 of total liquidity, reduced net debt by approximately $25,000,000 sequentially in the quarter, and ended the year at 4.9x net leverage. Deleveraging remains a clear priority as we move through 2026. Based on our plan, we have a path to be below 4.5x by the end of the year. With 2025 results as context, let me turn to our outlook and the bridge to 2026 adjusted EBITDA. As shown on Slide 28, we begin with 2025 adjusted EBITDA of $164,400,000 and bridge to the midpoint of our 2026 guidance of $180,000,000. Overall, this bridge reflects disciplined execution and a normalization of activity toward long-term historical levels, not a return to peak conditions. We expect new and used equipment volumes to recover modestly as industry activity reverts closer to long-term averages across both Material Handling and Construction. We expect this recovery to be second-half weighted, specifically in Material Handling. Alongside that, equipment margins are expected to improve modestly, driven by a healthier mix, better alignment between inventory and demand, and less competitive pricing pressures in the marketplace. Product support is another meaningful contributor, as we intend to get back on a growth path in this business line in 2026. As general activity ramps and fleets replaced in prior years continue to age, we expect ongoing compounding in parts and service revenue, supported by stable utilization, technician productivity, and pricing discipline. We also expect modest improvement in rental utilization even if on a smaller rental fleet, consistent with our focus on returns on capital versus fleet growth. In 2026, we expect Master Distribution to contribute to the 2026 EBITDA lift as well, reflecting improved volumes and margins as trade- and tariff-related conditions stabilize and 2025 OEM price renegotiations take hold. Offsetting these positives, we expect lower contribution from rental equipment sales, consistent with our continued defleeting strategy and longer hold periods to maximize return. Finally, the bridge includes catch-all adjustments for cost increases reflecting a higher variable cost associated with increased activity levels, normal inflationary pressures, and ongoing investments to support the business. Taken together, no single item drives the bridge. Rather, it reflects a cumulative impact of multiple incremental improvements across the business, layered onto a more normalized demand environment and a structurally lower cost base. In closing, while 2025 was another challenging operating year for the business, our customers, and our partners, Alta exits the year leaner and better positioned to take advantage of the future as we continue to refocus on our core dealership capabilities and drive earnings quality and returns on capital. Thank you for your time and attention. I will now turn it back to the Operator for Q&A.
Operator: Thank you so much. We will now begin our Q&A session. If you would like to ask a question, please press 1. If you would like to remove your question, please press 2. Once again, to ask a question, please press 1. Our first question is from the line of Laura Maher of B. Riley Securities. Your line is open.
Laura Maher: Hi, Ryan and Tony. Thanks for taking the question. My first question is on reshoring. Is any of that translating into real equipment demand today, or should we think of that more of a 2027 and beyond story?
Ryan Greenawalt: This is Ryan. I will take that. I think that is a longer-range demand driver. We are seeing the benefits of it, especially in the North where we have an advanced manufacturing economy. But it is too early to be utilizing our equipment. These are projects that are earmarked but not really active yet.
Anthony J. Colucci: I would agree with that. I think what Ryan's commentary was on new manufacturing builds versus just general activity ramping in existing manufacturing facilities, and we would expect some of that to potentially impact 2026 here.
Laura Maher: Great. Thanks. And then on the construction front, do you see any more federal funding coming through?
Ryan Greenawalt: You know, like anything at the federal level, hard to handicap. I believe the the latest CHIPS Act—Infrastructure Act—has, you know, we are probably in the fifth or sixth inning of that money being deployed.
Anthony J. Colucci: We made mention, and Ryan's quote today talked about $14.6 billion of let jobs here recently that are going to hit the ground. So there is plenty left in the federal kind of quiver, if you will, to catalyze the infrastructure spending for the next couple of years. As you know, Laura, we always tend to stick closer to our state DOT budgets, and those just continue to ramp and stay at peak levels. Florida, we are seeing a lot of activity. Michigan had a new roads bill last year. And so, yeah, we feel good that regardless of what happens here, maybe continued federal spending beyond what has been approved, we have got several years left at least.
Laura Maher: Thanks.
Operator: Our next question comes from the line of Robert Murphy of Raymond James. Your line is open.
Robert Murphy: Hey, team. Thanks for the time. Just a quick question here on the 2026 guidance. I was hoping you can walk through some of the scenarios and facts that would kind of drive results to land in both the high and low end of that range. Then kind of derivatively off of that, how much of the year-over-year improvement from 2025 to 2026 do you see as being broader macro versus Alta-specific initiatives?
Anthony J. Colucci: Very much. I will take that one, Robert. I think you are referring to Slide 28. The first part of your question on what can make it go one way or the other: on the construction side in terms of volumes, the industry has, I think, a pretty sober growth number—somewhere between flat and 5% if you pay attention to a lot of the prognosticators and larger OEMs that are out there. If that goes higher, I think we can end up on the high side. Material Handling, which has been in such a doldrum recently—we made note in one of our slides of the market slipping under 30,000 units of ITA, which is a cycle low for our markets—and to the extent that reverts more heavily and more quickly, you could see the high side of the guide. I think rental utilization getting back to 35% financial utilization more quickly than we anticipate could also do it. So that is just general activity. And then the big driver, I think, would be the manufacturing base. We did not grow in parts and service in Material Handling last year. And I think to the extent the Midwest comes back with activity levels, that could meaningfully have us beat. Any of those things go the other way, and you could see the downside to the equation. To your question on what we can control and what we cannot control, we have taken costs out of the business. That is ongoing in terms of initiatives. We are always looking to get lighter from a fixed cost base. I think on price and quantity in the product support departments, at some level, we can control that—our recruiting efforts to meet demand with supply in terms of technicians—and then just making sure that we are staying with the market for the service that we provide our customers relative to pricing. Beyond that, we are always sort of beholden in the equipment sales line to the marketplace. And as you can see in the first two columns on the bridge, there is less that we can control. But we feel good that, with quoting activity and what we have been through the last two years, we will see some sort of reversion here. So I would weight it 65/35, the things that are a little bit more outside of our control. That said, as Ryan mentioned, we have got some sales transformation initiatives going on. We intend to drive share over the long run with some of those initiatives. And to the extent those take hold sooner rather than later, that is something that is also in our control.
Robert Murphy: Okay. Great. Really appreciate the color there. Just shifting to margins quickly on the Construction side. So new equipment margins, they were down year over year and sequentially. But it sounds like there are some positive indicators there as well on the supply side. I was just wondering if you could provide a bit more color on that environment—where we are at in the cycle there—and if you have seen any incremental improvements, even as 2026 is underway, if there have been indications of improvement as the year has been building here.
Anthony J. Colucci: Yeah. This has been an ongoing theme now for two years—the continued compression on equipment margins. I do think we believe that the industry, as we sit here, is still a little bit oversupplied. You really have to get granular by geography and by product category. But we do think there will be some relief, and as you know, it comes down to aggression from our OEMs as well to keep things competitively priced for us. If you pay attention to the marketplace and what publicly has been said by some of our large competitors, we would expect fewer discounting dollars to be put into the marketplace in 2026 relative to 2024 and 2025, which means, hopefully, a less competitive environment for our products. We do think that is a little bit back-end weighted relative to the year. But I guess that is how I would answer that one, Robert.
Robert Murphy: That is great. Really appreciate it. And then just one more before I turn the line here. Just on capital allocation, how do you guys think about debt paydown? I know you have the leverage targets here for both 2026 and 2028. How do you balance that with prospective M&A, buybacks, and dividend reinstatement potentially as well? Any color there would be appreciated.
Anthony J. Colucci: Sure, Robert. We cut the common dividend in Q2 of last year as we saw the challenges in the business and leverage moving higher than we want to be. Until the leverage snaps back to a more normal level—or we feel better about conditions on the ground, which we do today, but until that turns into results on the P&L and on the balance sheet—I would expect us to be status quo with using excess cash flow to continue to delever. Ryan has made mention of sticking a little bit cleaner and closer to our defined criteria on M&A, so a smaller strike zone that way. Long way of saying we do not expect to bring the dividend back in the short run. We do have a 10b5-1 plan in place for share buybacks, which I would say is immaterial relative to the cash flows of the business. But for now, the priority is taking care of the balance sheet on an organic basis with our cash flows.
Robert Murphy: Okay. Appreciate it. I will turn the line here. Thank you very much.
Anthony J. Colucci: Thank you.
Operator: Our next question comes from the line of Steven Ramsey of Thompson Research Group. Your line is open.
Steven Ramsey: Good evening. I wanted to start with—you have had six quarters of year-over-year EBITDA declines, though Q4 was virtually flat, so a good trajectory there. Do you feel that EBITDA can show year-over-year growth in all four quarters of fiscal year 2026, or is it something that builds as we progress through the year?
Anthony J. Colucci: You know, Steven, it is a really good question, and I do think we are expecting more of a build throughout the year. How that plays out relative to beating quarter over quarter, I would say Q1 is always difficult for us. For those on the call that live in the North, they know that even this week, we got hit with a day or so where, in the Northeast, for instance, it is just hard to get technicians on the road. So we have had a little bit of a difficult start here on the product support side of the business. But there is reason to be hopeful in Q1. That is a long way of saying I think it will be more back-end weighted—the EBITDA beats. And so long as we can get out of Q1 here, we will have a better look at what construction activity looks like specifically. We will have a better barometer. But all told, we are expecting more of the beat to come in the back half of the year, and part of that is as we build backlog in Material Handling—some of the commentary Ryan made about bookings being pretty decent here in January and February—and those bookings then converting to revenue in the back half.
Steven Ramsey: Okay. That is helpful color and makes sense. I would like to hear a bit more on the competitive intensity that is easing up in the Construction equipment side of things, and you did not mention that in Material Handling. Maybe it is just different drivers for each segment. But gross margin cadence for Construction equipment specifically—is that a competitive-intensity-driven factor primarily, or are there other factors that can support gross margins for Construction equipment sales?
Anthony J. Colucci: So just to make sure I have it—things that go beyond competitive price pressures that drive margin?
Steven Ramsey: That is right. How much is the—
Anthony J. Colucci: I think that for sure is number one. This is a mature marketplace where you have got household names competing for market share every day. And so what it comes down to is a value proposition to the customer: whether you can keep them up and running, and that is something near and dear to Alta and the 1,200 or 1,300 mechanics that we have on the ground every day. You can drive more margin by treating the customers right and having them be willing to pay for keeping their equipment up and running. But beyond that, I would say it is a mature marketplace. Pricing matters. And the competitive dynamics with the OEMs are always at the forefront.
Ryan Greenawalt: Steve, the one thing I would add is that the more commoditized the product category, the more it is based on supply and demand and not other factors. So tonight, we featured a high-profile sale of some high-end Volvo excavators that are purpose-built for tough applications. That would be something you could point to where you can hold higher margin when you have a product that really differentiates itself within the competitive landscape.
Steven Ramsey: Okay. That is helpful color. And then last one for me. Interesting to hear the multiyear targets on PeakLogix and Ecoverse and reaching $100,000,000 of sales for each unit in 2028. Can you ballpark the current size and margin profiles of those two units, and what the margin profile would be if they achieve those 2028 revenue targets?
Anthony J. Colucci: Sure, Steve. You can see Ecoverse just in our Master Distribution segment—it is a one-for-one. Ecoverse did $67,000,000 this past year, and I would say can push well past that. But anyway, that one is a one-for-one with our Master Distribution segment. Peak is probably half of that $100,000,000 today, give or take, and we know that it has the capacity to do more. We have made investments and continue to make investments in talent in that business. For those that are not aware, PeakLogix is a warehouse systems integration group—think automated warehouses. We own a software called PickPro that we are investing in. And so, emerging technologies in the warehouse and distribution space—there are multiple comps out there in the universe that are several-hundred-million-dollar businesses, or even several-billion-dollar businesses. And we have got to take our share of that marketplace. The margin profile—you can see with Ecoverse in our Master Distribution segment—obviously has been impacted more recently with tariffs, but I would expect that to scale similar to the profile that it had scaled at previously. And then with PeakLogix, their gross margins are somewhere around 30%, maybe north of that, and EBITDA margins in the mid-teens would be the goal—high teens even. So, to give you perspective.
Steven Ramsey: That is helpful, everyone. Thank you.
Ryan Greenawalt: Thank you.
Operator: Once again, if you would like to ask a question, please press 1 on your telephone keypad. Our next question comes from the line of Ted Jackson of Northland Securities. Your line is open.
Ted Jackson: Thanks very much. I was concerned that maybe my hand did not get raised. Congrats on the quarter, and I think the outlook that you provided is very constructive.
Anthony J. Colucci: Thanks, Ted.
Ted Jackson: So my first question, which you actually touched on, I had wanted to touch base with regards to whether you had an impact in the fourth quarter. The weather has been, for just some of your core regions, not that great in the first quarter either. How should we think about first quarter in terms of performance? Is this going to be more of a services/parts impact, or does it have a big impact on your equipment sales too? Maybe just talk a little bit through the first quarter and how we should think about it, given that it is some of the worst weather we have seen in quite a bit of time.
Anthony J. Colucci: Yeah. Ted, I would not expect it to impact, on a year-over-year basis in Q1, equipment sales. For sure. And then, obviously, we have Florida, which we always know is a big contributor to our Construction business. So equipment sales, I would say, are less impacted. Parts and service—probably most acutely—as we try to get technicians on the road, where you may lose a little bit of time. And then rental would be somewhere in the middle of the acute impact on parts and service versus equipment. That being said, rental in the Material Handling business is probably not impacted because the majority of it is indoor. In Construction, we have our seasonal low anyway for the rental business. So, again, I think maybe a little bit of impact there on the rental side in Construction, but long-winded way of saying parts and service would be where we would see it.
Ted Jackson: Okay. And then jumping over to tariffs. You have OEMs that have had more than their fair share in terms of exposure. Obviously, you have yourself. I know it is really early with regards to the Supreme Court decision. Is that the kind of thing where you have had any discussions with, say, a Volvo—just going about what the thought process is with this latest turn of events and what it might mean for their businesses and what it might mean for their pricing and such as we move forward? And then, obviously, the same thing holds true with Ecoverse and your own business there. And I have a couple more behind me.
Ryan Greenawalt: Ted, I will take that one. It is hard to answer, but what I would say is that it is consistent across our OEMs that we are seeing the decision as a positive—that overall, we believe this will create more certainty on the tariff policy. Despite the near term with some temporary tariffs, it is more defining what is not possible going forward than what is. We kind of knew what the rules of engagement were. It feels like we are back to the old rules, and that is probably a good thing for calming the market. Our OEMs are not overreacting. We are not anticipating a big rebate, so to speak. This has been kind of absorbed by the OEMs and by the dealers. We did not push a lot of pricing into the market. So do not expect a lot of volatility trying to clean up a mess in that regard either. We take it as a positive. It is going to be a couple more months of some uncertainty, but we think overall it is creating more clarity.
Ted Jackson: I mean, I do not know about Volvo per se, but I know from listening to and talking to CNH and a few others that they have instituted—they have not fully compensated for all the tariffs, but they have taken, call it, 3% to 5% price increases in front of it. And so with that in mind, will there be a price adjustment down, or is this the kind of thing where—you know what I am saying—are we going to get the—
Ryan Greenawalt: Answer: prices never go down. I think that likely that is a new high watermark, and we sort of manage with discounting and supply-and-demand dynamics, but unlikely that we would see big price decreases going forward.
Ted Jackson: Okay. Then just shifting over—I have two more questions. Going over to Material Handling, you are seeing a pickup in order activity. I know from listening to Hyster-Yale and what they are trying to do, they have slowed production to build backlog. So when I listen to you talk about Material Handling in an improving market and a stronger back half, how much of that is being driven by an actual turn and strengthening in terms of bookings/orders, and how much of that is because the fulfillment timeline has been extended because of the actions of Hyster?
Ryan Greenawalt: I am going to say it is the prior, Ted. It has little to do with fulfillment. It is bookings, because we have got—especially on the lift truck side—transparency into what has been booked, and there is that obvious lag time to when it is delivered. But we are seeing booking activity up year over year, and we see that as a leading indicator of a strengthening market.
Ted Jackson: And is there any particular verticals where you are seeing that strengthening happen—anything that is really distinct to Alta in and of itself, or is it very generic in terms of the—
Ryan Greenawalt: I do not want to speak to the industry volumes because our end markets are dependent on the geographies we serve. Where we are focused is making sure that we protect and defend our share of the RYDER forklifts—traditional bread and butter—where we have seen some pressure over the last couple years, and that is where we are excited to see a snapback on our share. Again, it is early, and we do not report that on a quarterly basis, but we are bullish in that regard that we see some of our share snapping back where it needs to.
Ted Jackson: Ryan, you sound superstitious. I do not want to jinx you. My last question: the dialing down of the rent-to-sell business and the efforts to improve your capital utilization. Can you talk about what is the end game for that? Are we there now, or is there more to go? Maybe talk through where you see the finish line.
Anthony J. Colucci: Yeah, Ted. We are not quite there yet. We made mention of trying to get to, based on our plan, sub-4.5x on our leverage by the end of the year. That is predicated on hitting the $180,000,000 of EBITDA as well as offloading some fleet that is part of this rationalization program, and that number is something like $40,000,000 still that we would like to get out of the fleet. We expect to do that over the next twelve months during the fiscal year—get through the majority of that. We still are not hitting the KPIs we need to in the rental business, and we will continue to pare back the size of the fleet—not just in rent-to-sell categories, but also in the Material Handling business—if we do not see appropriate utilization. So I would say we are 70% through what we would have deemed as excess a year or so ago.
Ted Jackson: Okay. That is it for me. Thank you very much for the time.
Anthony J. Colucci: Thanks, Ted.
Operator: Thank you all for your questions. That will conclude today's Q&A session and call. On behalf of the company, thank you for joining and participating. Enjoy the rest of your day.